Operator: Good day, ladies and gentlemen, and welcome to the MYR Group Third Quarter 2015 Earnings Results Conference Call. Today's conference is being recorded. At this time, for opening remarks and introductions, I would like to turn the conference over to Mr. Philip Kranz of Dresner. Please go ahead, sir.
Philip Kranz: Thank you and good morning everyone. I'd like to welcome you to the MYR Group conference call to discuss the company's third quarter results for 2015, which were reported yesterday. Joining us on today's call are Bill Koertner, President and Chief Executive Officer; Betty Johnson, Senior Vice President, Chief Financial Officer and Treasurer; and Rick Swartz, Senior Vice President and Chief Operating Officer. If you did not receive yesterday's press release, please contact Dresner Corporate Services at 312-726-3600, and we will send you a copy or you can go to www.myrgroup.com, where a copy is available under the Investor Relations tab. Also, a replay of today's call will be available until Wednesday, November 11, 2015 at 11:59 P.M. Eastern Time by dialing 855-859-2056 or 404-537-3406 and entering conference ID 59506740. Before we begin, I want to remind you this discussion may contain forward-looking statements. Any such statements are based upon information available to MYR management as of this date and MYR assumes no obligation to update any such forward-looking statements. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Accordingly, these statements are no guarantee of future performance. These risks and uncertainties are discussed in the company's Annual Report on Form 10-K for the year ended December 31, 2014, the company's Quarterly Report on Form 10-Q for the third quarter of 2015 and in yesterday's press release. Certain non-GAAP financial information will be discussed on the call today. A reconciliation of this non-GAAP information to the most comparable GAAP measure is set forth in yesterday's press release. With that said, let me turn the call over to Bill Koertner.
William Koertner: Good morning, everyone. Welcome to our third quarter 2015 conference call to discuss financial and operational results. I'll start by providing a summary of the third quarter results and then turn the call over to our CFO Betty Johnson for more detailed financial information. On October 19, we announced the appointment of Better Johnson as MYR's Senior Vice President, Chief Financial Officer and Treasurer. Along with serving on MYR's Board of Directors from 2007 to 2015, Betty served as MYR's Controller from 1992 to 1998 and Vice President and Controller in 1998 and 1999. Throughout our service on our board, she has demonstrated strong financial leadership skills and a broad knowledge of our company and the electrical construction industry. We are confident that her experience and hands-on approach will have a positive impact on our organization and support our growth initiatives in the future. Following Betty's discussion, Rick Swartz, our Chief Operating Officer will provide an overall industry outlook and discuss some of MYR Group's opportunities going forward. I will then conclude with some closing remarks and open up the call for your comments and questions. In the third quarter of 2015, revenues grew nearly 9% to $269.9 million, driven primarily by growth within our transmission and distribution segment. Notwithstanding improved top line results, our profitability was lower than last year as gross margins were pressured and was a challenging quarter for the company. Increased competition in many of our markets and a few underperforming jobs impacted our results. Much of our revenue during the quarter was derived from smaller and mid size jobs with shorter durations and those experienced a few years ago. These jobs typically result in lower overall equipment utilization and lower labor productivity because the jobs are often finished before our work crews fully get up the learning curve and reach their productive rhythm. Continuity of work remains one of the keys to our success. That being said, we are pleased that our investment to expand in several new geographic markets is beginning to show positive results. At the end of the third quarter, our total backlog grew to $425.1 million representing growth both year-over-year and sequentially. We planned to remain disciplined going forward with our approach both as we grow organically and consider acquisitions. We intend to capitalize in the strength of our team, customer relationships, specialty equipment resources, strong balance sheet, safety record and customer service reputation. Finally, we were active with our share repurchase program during the quarter as we repurchased over 254,000 shares of our common stock under our $42.5 million program. Year-to-date we had spent $9.2 million for share repurchases, $11.4 million for the E.S. Boulos acquisition and $42.8 million for property and equipment. Even with those expenditures, we finished the quarter with over $30 million of cash and no outstanding debt. Now I'll turn the call over to Betty for details on our third quarter 2015 financial results.
Betty Johnson: Thank you, Bill, and good morning, everybody. As Bill stated earlier, we had a challenging third quarter for 2015. We had higher revenues, but also had lower margins to primarily to heightened competition and labor productivity issues on certain jobs during the quarter. Our revenue for the third quarter of 2015 were $269.9 million, which represented a $21.4 million or 8.6% compared to the same period of 2014. The increase was primarily due to higher T&D revenues on jobs of all sizes and the acquisition of E.S. Boulos which happened to contribute both to the T&D and the C&I segments. On a consolidated basis, material and subcontractor costs comprised approximately 31% of total contract cost in the third quarter of 2015 compared to approximately 36% in the third quarter of 2014. Compared to 2014 third quarter, T&D revenues increased $23.9 million to $203.9 million, while C&I revenues declined $2.5 million to $66 million. Focusing first on the T&D segment, revenues were $144.7 million for transmission and $59.2 million for distribution in the third quarter of 2015. This compares to $135.3 million for transmission and $44.7 million for distribution for the third quarter of 2014. The increase in both transmission and distribution revenue were primarily due to an increase in jobs of all sizes. Material and subcontractor cost in the T&D segment comprised approximately 25% of total contract cost in the third quarter of 2015 compared to approximately 34% in the third quarter of 2014. In the third quarter of 2015, revenues from our transmission business were 70.9% of total T&D revenues compared to 75.2% in the third quarter of 2014. Revenues from our distribution business were 29.1% of total T&D revenues for the third quarter of 2015 compared to 24.8% in the third quarter of 2014. The growth in distribution revenues was broad-based and reflected both increased spending and higher market share in certain markets. C&I revenues decreased by 3.7% to $66 million in the third quarter of 2015 from $68.5 million in the third quarter of 2014, primarily due to lower revenues from large jobs partially offset by the acquisition of E.S. Boulos. Material and subcontractor cost in our C&I segment comprised approximately 49% of total contract cost in the third quarter of 2015 compared to approximately 42% in the third quarter of 2014. Our overall gross profit in the third quarter of 2015 was $28.6 million compared to $32.7 million in the third quarter of 2014. The decrease in gross profit was primarily due to lower overall gross margins firstly offset by our higher revenues. Our gross margin was 10.6% in the third quarter of 2015 compared to 13.2% in the same quarter of 2014. The decline in gross margin was primarily due to increased competition in many of our markets and increase in shorter duration jobs which tend to have lower margins and certain underperforming jobs due to labor productivity below previous estimates and rework on certain jobs. Changes in estimates of gross profit on certain jobs resulted in a 0.5% decline in gross margin in the third quarter of 2015 compared to a 1% increase in the third quarter of 2014. Third quarter 2015 SG&A expenses were $19 million compared to $19.3 million in the third quarter of 2014. The $300,000 decline was due to lower bonus and profit sharing cost, partially offset by higher personnel costs to support operations. This increase in personnel costs includes support of organic and acquisition growth initiatives. SG&A as a percentage of revenues was 7% for the third quarter of 2015, down from 7.8% for the third quarter of 2014. Third quarter 2015 EBITDA was $20.1 million compared to $21.9 million in the third quarter of 2014. Our provision for income taxes decreased to $4 million in the third quarter of 2015 compared to $4.9 million in the same quarter of 2014. Our effective tax rate for the third quarter of 2015 was 39.4% compared to 36.8% in the third quarter of 2014. An increase in the effective tax rate was primarily caused by year-to-date impact of lower domestic activity deductions and changes in the mix of business between states. Third quarter 2015 net income was $6.2 million or $0.29 per diluted share compared to $8.4 million or $0.39 per diluted share in the third quarter of 2014. Shifting now to our first nine months of 2015 results, revenue increased $97.5 million or 14.1% to $790.5 million compared to $693 million for the first nine months of 2014. The increase was primarily the results of higher T&D revenues and the acquisition of E.S. Boulos. Our overall gross profit in the first nine months of 2015 was $89.7 million compared to $90.3 million in the first nine months of 2014, due to lower margin, gross margin is partially offset by our higher revenues. Gross margin decreased to 11.4% versus 13% in the first nine months of 2014. The decline in gross margin in the first nine months of 2015 was primarily due to increased competition in many of our markets, and increase in shorter duration jobs which tend to have a lower margin and certain underperforming jobs due to labor productivity below previous estimates and rework on certain jobs. Changes in estimates of gross profit on certain jobs resulted in a 0.5% increase in gross profit margins in the first nine months of 2015 compared to a 1.7% increase in the first nine months of 2014. EBITDA increased to $62.9 million or $2.98 per diluted share for the first nine months of 2015 compared to $60.9 million or $2.83 per diluted share for the first nine months of 2014. Net income for the first nine months of 2015 was $21.4 million compared to net income of $22.4 million in the first nine months of 2014. Diluted earnings per share were $1.01 for the first nine months of 2015 compared to $1.03 for the first nine months of 2014. We invested $42.8 million in property, plant and equipment in the first nine months of 2015 compared to $36 million in the first nine months of 2014. We expect our total 2015 capital expenditures will be slightly higher than the capital spending in the last two years, primarily due to a real estate purchase in the third quarter of 2015. Total backlog at September 30, 2015, was $425.1 million consisting of $295.6 million in the T&D segment and a $129.5 million in the C&I segment. Total backlog as of September 30, 2015, increased by $14.1 million from the $410.7 million reported at June 30, 2015. The overall backlog increased six of the past seven quarters and is partially due to our expansion into the new geographic markets, including both through organic growth and through the acquisition of E.S. Boulos. T&D backlog increased $19.8 million or 7.2%, while C&I backlog decreased $5.4 million or 4%. Moving now to the balance sheet, stockholders' equity increased to $341.3 million at September 30, 2015, from $322.6 million at December 31, 2014. Our return on equity was 11.4% for both the 12 months ended September 30, 2015 and 2014. Our return on invested capital for the 12 months ended September 30, 2015 was 14.4% compared to 14.7% for the prior-year period. At September 30, 2015, we had approximately $30.4 million in cash and cash equivalents, no outstanding funded debt and $155.7 million in availability under our credit facility. As it relates to our $42.5 million share repurchase program, in the first nine months of 2015 we purchased 327,232 shares of our common stock. We have $18.1 million of remaining availability in this program. In conclusion, we had a challenging third quarter as margin pressure and labor productivity issues on certain projects more than offset the increases in our revenues. We continue to look for opportunities to expand our geographic footprint, while continuing our disciplined approach to bidding and performing on projects. We believe our strong balance sheet and borrowing capacity will allow us to continue our organic growth initiatives, consider additional acquisitions and support our share repurchase program. I'll now turn the call over to Rick, who will provide an overall industry outlook and our view of MYR's opportunities. Thank you.
Rick Swartz: Thanks, Betty, and good morning, everyone. Although our project mix and project sizes vary during 2015 and pricing within the industry has become more competitive. We believe there will be opportunities for revenue growth going forward. The T&D and C&I markets continue to offer significant project opportunities across the country and we expect historical transmission spending levels to remain steady in the foreseeable future. While recent transmission opportunities have been comprised of a higher mix of small to medium size projects compared to the concentration of large, high profile projects we had seen over the past few years. We continue to bid and pursue a number of large projects throughout the nation and expect this trend to continue. According to Transmission Hub September quarter we market update 2016 maybe a record time for transmission investment in North America. Exciting that Edison Electric Institute forecast that utilities and developers will combine to invest $19.2 billion per year on average through 2017 in the U.S. and Canadian transmission markets. The main driver of this investments includes generation interconnection, grid modernization and replacement of aging and update outdated infrastructure. Another source, Generation Hub stated the U.S. power market will experience a record 228 coal plant retirements by the end of 2017, which represents a total of 38,000 megawatts of generation that will need to be replaced. Generation Hub predicts 95% of all new generation will come from natural gas, wind or solar resources, which provides companies like MYR with opportunities for projects related to generation interconnections. As an example, Duke Energy announced that its North Carolina utility will be seeking approval to construct a new transmission line in substation facility for the planned Asheville Natural Gas Plant. This new infrastructure is estimated to cost around $320 million. We believe that this pending projects is just one of potentially many more to come by utilities seeking ways to connect their new generation mix into the electric grids. The high cost of delaying energy infrastructure was a topic in the New England ISO during the quarter. A group of independent energy and economic consulting firms released a report prepared for a newly formed group called the New England Correlation for Affordable Energy. This group was formed to advocate for the expansion of New England gas and energy infrastructure to make energy more affordable to consumers and businesses. Many current and anticipated projects are intended for reliability, while others are based on economic reasons in terms of congestion relief in high growth areas. Several New England states are examining ways to improve energy reliability during peak periods in order to offset the increasing cost of energy in the region. The coalition also proposed to back several infrastructure projects that would help deliver lower cost, clean energy to the area. Due to our long established T&D presence throughout New England, coupled with the bolstered capabilities through our acquisition of E.S. Boulos earlier this year, we are confident MYR is well positioned to capture opportunities with new and existing clients in this reach. We also believe that robust transmission spending will continue in the Midwest United States. In the third quarter, the Midwest ISO or MISO released a status update regarding its MISO transmission expansion planning report, which includes 344 new projects with an incremental investment of $2.4 billion. In addition, the MISO transmission expansion plan includes regionally planned projects to facilitate wind generation into the regional power generation mix as coal generation plants are retired. These projects which are referred to as multi value projects are all planned to be completed by 2020 and represent a total estimated investment of $6.5 billion by MISO members. Approximately half of these projects are completed or underway. MYR Group companies have an established track record of performing transmission work in the MISO region and we believe that we are favorably position to secure a portion of these planned projects over the next several years. We also see continuing activity in Texas and New Mexico. Xcel Energy subsidiary Southwest public service is moving forward with its power for the plains transmissions enhancement program, and investment of more than $1.6 billion by 2020 in new transmission and substation projects. By enhancing the power grid, Xcel Energy can better integrate renewable energy resources as well as plan for future low growth. We believe we are strategically positioned to capture our share of work in this region as we utilize our available resources that have been performing both substation and transmission line work since the completion of or cross Texas transmission project. The Western U.S. is also an active market and growth target for MYR Group, along with significant spending for full replacement programs and other reliability initiatives throughout California. Recent legislation could positively affect additional transmission investment in this area. This goes well for opportunities for our new established operation in California. Distribution activity as it remain steady throughout the quarter as many of our utility clients continue to invest in the replacement of their aging infrastructure and increased their use of outside contractors versus the utility self performing at work. We believe that reliability mandates and improvement in the housing market will remain key drivers of distribution spending growth in the near and longer term. New housing construction starts reached a near eight year high last quarter, and a number of the industry engineering firms have indicated a notable increase in engineering activity for future distribution. We anticipate a continued uptick in spending for this market. Shifting to our C&I business, bidding and project activity continues to increase in most of our C&I regions. The healthcare markets throughout Colorado and Arizona remain strong, which have led to some recent awards for design assist healthcare projects, including the Banner University Hospital Tower in Tucson and Expansion of the San Francis Hospital in Colorado. Large transportation and airport projects are also in the pipeline throughout the Western United States. Due to our vast experience in this area, we've secured partnering agreements with many of the strongest civil contractors pursuing these jobs. Additionally, we see transportation and air field opportunities continuing throughout the Western United States. Our reputation for quality and data center work has allowed us to explore expansion into new geographic territories while our execution of projects in our traditional markets remain consistent. Sizeable aerospace opportunities are also reaching final design and bidding opportunities are forth coming. Meanwhile, as waste storage and water treatment concerns continue to increase across the west, new opportunities are developing in many of our regions. Due to our track record for successful project completion on complex water structures, we have placed a high priority on developing our project management resources to capture work in this evolving growth market. Finally, the hospitality industry is building momentum in Nevada and Colorado as several new venture are on the planning horizon. Our Las Vegas office continues to bid and capture small projects which has allowed us to add management staff for future growth. In Seattle, we are building a quality team capable of securing projects in a variety of expanding markets. Along with this array of activity taking place in our C&I and T&D markets, we planned to continue to establish our presence in new markets, explore potential acquisitions and pursue specific large projects throughout the country. Thanks everyone for your time today. I'll now turn the call back Bill Koertner who will provide us with some closing comments.
William Koertner: Thank you for that update Rick. We are committed to remaining one of the lowest cost and highest value providers of electrical contracting services for our clients, demonstrated through our unwavering commitment to safety, customer service and a competitive cost structure. Throughout the organization, we remained dedicated to strengthening customer relationships, broadening our base of industry partners, identifying targets as well as developing strategies for growth either geographically or through additional service offerings or acquisitions, while also evaluating our operations for potential improvements. Our efforts help us to derive efficiencies throughout the organization, share and adopt best practices and maximize our ability to capitalize on the most promising opportunities. This is essential for us to grow and deliver for all of our stakeholders, including our customers, employees, industry partners and stock holders. MYR Group's diverse capabilities, superior skills, trained and talented people top of the line fleet and proven track growth for a period of success will make MYR Group an attractive choice within this competitive exciting and continuously changing industry. On behalf of Betty, Rick and myself, I sincerely thank you for joining us on the call today and for your ongoing confidence in MYR Group. I look forward to updating you on our progress next quarter. Operator, we are now ready to open the call up for comments and questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Andy Wittman from Robert W. Baird. Your line is open.
Andrew Wittman: Great, thanks. Good morning, Bill and Rick and welcome Betty.
William Koertner: Good morning.
Andrew Wittman: Hey, so I guess I wanted to start with the margins. So, I guess starting with, are there – if you look at the margin profile it's moved into the fourth quarter, did some of the issues continue maybe as you look at the projects that are in backlog and then specifically referring to the T&D backlog, is the margin that’s in backlog today lower or kind of moving lower, and lower today than it was maybe a year ago? And maybe another point on the margin question would be, do you have any actions in place or any actions needed to rectify some of the large impression that you've seen now couple of quarters in a row?
William Koertner: Andy, as you know, we don’t disclose what our backlog and margin is. So, historically or going forward, so I can't really elaborate on that. Clearly, it continues to be a lot of opportunities, bidding opportunities, we have seen competitive pressure and we're trying to be smart about how we respond to those competitive pressure. There is definitely no shortage of work to bid, but there are more competitors than maybe what we had two, three years ago and that’s what's putting pressure on margins. How long that will continue I think is anybody's guess but we're trying to be smart about how we approach the market and how we approach bidding and remain disciplined.
Andrew Wittman: Well, on the cost side of the equations Bill, I mean it's kind of the market opportunity side, but is there anything you need to be doing or thinking about doing internally to right size or maybe not right size, I don’t know but is there anything that you're looking at that you can control?
William Koertner: Well, certainly. Always looking to make sure we got a cost structure that fits our revenue base and margins. I do feel with our fleet we've invested a lot of money in that over the last five, six years as you know. I think our base of investment and the depreciation, expense that we had going forward I think is manageable, I think is an advantage for our company because we've got those costs already reflected and we're not adding new fleet unless we can absolutely justify it based upon our outlook for works. And we're not looking to invest and increase our – either our fleet resources or people resources unless we can demonstrate and justify it.
Andrew Wittman: That leads me to my next question, the CapEx obviously a little up you mentioned in the real estate purchase. Is 2016 CapEx, I mean were broadly in the quarter free cash flow or cash flow from operations is actually pretty weak, it looks like working capital was a pretty big use. Is that just timing or is there a receivable that’s in dispute right now that’s clogging things up and is there any resolution that you can give us there for both of those questions that'll be helpful and it'll be done.
William Koertner: Let me have Betty respond to that.
Betty Johnson: Yeah, I can take that. From a working capital perspective, you're correct, the working capital overall has increased I'd say that right now that's a factor of timing. It's portion part of that relates to large jobs that have gone down even in the acceptance stage and going through the process with collecting the receivable with no issues with respect to collection. It's just a matter of timing and within the short period of time, by collecting some of those large priority retention billings. And it also relates a little bit to the mix and the work as far as over under billings as it relates to the ability to build certain things as before we had [indiscernible] or not, but not anything as it relates to a collection issue, specifically. And so I think that that would address the working capital question.
Andrew Wittman: And then CapEx for next year?
William Koertner: CapEx for next year would be similar to what we've been experiencing over the last four or five years. We're not running out in January in spending all that money and we have to win some awards to justify that. So, our capital budget which our board reviews every quarter is comparable to the last five or six years, but we're not going to spend at all unless we can justify it.
Andrew Wittman: Thanks.
Operator: Thank you. Our next question comes from Tahira Afzal from KeyBanc Capital Markets. Your line is now open.
Tahira Afzal: Hi Bill and team.
William Koertner: Good morning, Tahira. How are you?
Tahira Afzal: To buy banks much like yourself I guess nowadays. I guess my first question is, I guess the electric transmission side based on some preannouncement that’s fairly well demo graphed. I was a little surprised on the C&I side, we're not hearing the same commentary consistency from some of your peers who love to get a low color whether it's because you're more regionally specific etcetera?
William Koertner: Rick, why don’t you answer that?
Rick Swartz: Sure. We are more regionally centered in the markets we're in, we are seeing a lot of projects, a lot of opportunities out there. Vegas, we've talked about growing into Vegas and Seattle, we see those opportunities there too. So, positive on that side, we did have a little underperformance on a couple jobs within the C&I that affected our quarterly results so that affected that, those are primarily behind us. Those projects are substantially complete when I say that they're in 99% complete. So we know our exposure there but we did have two underperforming projects in the C&I side.
William Koertner: Tahira…
Tahira Afzal: That makes sense. Go ahead.
William Koertner: I'll add to it. Whenever we enter a new market, obviously there is some additional risk factors that you need to deal with because we don’t fell all the local labor in those particular market. So we try to research at as best we can and we think these are good, long-term steps for the company but there are more risk that you have to manage because you do have some new people that you're dealing with and trying to understand their productivity in the cultures of those markets.
Tahira Afzal: Got it, so that makes complete sense that you have to explore and investigate and there are some risk in going into new markets. I guess I was trying to read into any of your existing markets on the C&I side when you were talking about competitive pressures, bidding environment. Does it pertain to your newer market or some of your existing ones?
Rick Swartz: On the C&I side the pressures have always been there, I don’t see a big change. I do see what's housing developments with some of the changing in the markets, I see it more as a positive trend. But the competitors on that market remains strong, they always have and we've got a good niche and those markets were – we understand what we can do and what we can't do. So, we've got a good team in place, so I don’t really see any competitive – additional competitive pressures at this time in that market.
Tahira Afzal: Got it, that’s actually helpful. And Bill and team, if I look at – if I look at the transmission side of the equation, when do you see some of these large projects ramping up, I'm sure it's been frustrating for your team, timing wise if you were to give your best guess given to rethinking or the negotiations, could we see some of these coming through in 2016 or do we have to wait another year?
William Koertner: I think you'll see someone come through in 2016. You certainly have access to the same sources of projections as we do, the EI survey data, the hub data. But we still are constantly dealing with permitting issues and getting regulatory approvals and we're supporting several clients with their public hearings, trying to get win sighting for different projects. So we definitely see some of the projects coming forward in 2016 and I see 2017 going forward probably even better than that.
Tahira Afzal: Got it. I'll hop back in the queue.
William Koertner: Thanks.
Operator: Thank you. Our next question comes from Dan Mannes from Avondale Partners. Your line is now open.
Daniel Mannes: Thanks, good morning and then welcome aboard Betty.
Betty Johnson: Thank you.
Daniel Mannes: A couple thought questions probably continuations the things you've already gotten. Bill, can you maybe remind us of your long-term gross margin targets and expectations, and I know you don’t give guidance but you've kind of pulled us over the long-term, you expect to be at a certain range. And maybe characterize whether those sort of rates are achievable given the current competitive environment and the current mix of works gearing towards small?
William Koertner: Dan, I think it's just the way we've responded to that question in past is, we're in C&I market, those margins at the gross margin level are typically in the 6% to 8% level. The transmission side or the distribution side 8%, 10%, good times 11% and then the transmission revenues or transmission margins have typically been higher than that, but there has been increased compensation on the transmission side. So, being able to maintain those historic margins that we've achieved is definitely what we have our work cut out for us.
Daniel Mannes: Got it. And then the other thing that look like it takes you this quarter obviously with some underperformance on jobs which frankly hasn’t been the case you guys have kind of outperform jobs several quarters in a quarter. Can you comment number one on, it sounded like some of that with C&I, was that in both segments first of all? And second, are most of those jobs that did underperform, where those already closed our or is there some potential continuation?
Betty Johnson: Yeah, I can take that Bill. Dan, you're right, when it comes to the fact that we typically over perform this quarter we had 0.5% decline from our adjustments on certain jobs. And this is the first month and first quarter in several years, every other quarter has been on a positive uptick from our overall margin adjustments on those larger – from the larger adjustment perspective. So it is an unusual quarter. Most of this adjustments plus sums really came from the C&I side, Rick was referring earlier two jobs in the C&I side of the business, and happened to be in a new market where we took fairly large adjustment and also commented that those jobs are essentially down and behind us. So when it comes to the – are they behind us, yes, and the majority of the dollar amount is on C&I. We do not see any large, either positive or negative, I don’t – it's really on the T&D side overall.
Daniel Mannes: Got it. And then I guess I'll close out on the T&D side. How much of the T&D margin if at all, is give your regional expansion plans, is there cash overhead that is kind of weighing on overall results or would you say you're at least utilized to a decent degree relative to some of the new geographies you've moved into?
Rick Swartz: I believe there is – I mean there is an underutilization as you move into a new market of those resources, though we don’t carry field labor out there, the management staff we put in place, the estimators we put in place, the overall people we put to build that business we have to invest in that. And it was approximately probably a $1 million we spent, maybe slightly under that for the quarter.
Daniel Mannes: That was – that’s underutilized?
William Koertner: I don’t know but…
Rick Swartz: Yes it's been utilized but [indiscernible] it's not been underutilized, I wouldn’t take that as an underutilization, it's a necessary investment to grow those areas. So they're working on whether it's developing their client base, estimating developing the business for tomorrow. So it's not, I wouldn’t consider it underutilization.
William Koertner: Dan, we do have some key construction managers that are often job charged or would be part of contract cost, and if that job is wrapped up and we don’t have another job immediately to put them on, that would be an underutilized resource but they're sitting around, we put marketing hat on them and challenge them to go out and beat the bushes and find other projects. So while they're maybe construction managers we tried to turn them into marketing specialists to find their next meal.
Daniel Mannes: Now that makes sense. Thanks a lot for that color.
Operator: Thank you. [Operator Instructions] And our next comes from Alex Rygiel from FBR Capital Markets. Your line is now open.
Alex Rygiel: Thank you, good morning, Bill, welcome Betty.
Betty Johnson: Thanks.
William Koertner: All right, Alex.
Alex Rygiel: Bill, actually Bill and Betty, both of you been sort of in this business for a few years, possibly through a couple of cycles. We're hearing a lot about sort of a negative mix shift towards smaller projects rather than large projects and although maybe you have a chance to win a few large projects next year. They probably wouldn’t contribute in the meaningful fashion to revenue or earnings until probably 2017. And you're talking a lot about increased competition which in a kind of stable like environment increased competition probably drives down pricing too. Are we in a multiyear period here of declining margin for electric transmission and distribution?
William Koertner: Well, Alex, on our last call I talked about the Cres market that we were in that largely took place in 2011 through 2013. That was kind of a bubble at work, there continuous to be a lot of work in Texas but nothing like what the Cres market provided. And as I indicated on the last call, that may have been kind of a mixed blessing because that brought in some new competitors that conduct some of that work and those new competitors now are setting on a bunch of equipment and people resources that are competing for jobs and other places. So that had a lot to do with increasing the competition that we're facing. How long those competitor stay active, certainly time will tell, it's going to be absolutely essentially that we'd be efficient and they have a very competitive cost structure because those contractors who are efficient and do not have a lot cost structure are going to really struggle.
Alex Rygiel: And could you help to sort of bridge this to your commentary about CapEx, couple of years ago CapEx kind of took a new step higher to acquire a lot of assets for growth in large project opportunities, it seems like growth is slowed in large project opportunities and the near-term have slowed. Why is CapEx still at high level?
William Koertner: Well CapEx – the nature of the work is shifted a little bit. We're not adding a bunch of big transmission poolers and tension machines and the kinds of things that we were adding a few years ago. We've made quite an adjustment in bundles, stringing blocks. So if you look at our capital budget and what makes it up today versus what made it up four, five years ago it'd be a different mix of iron to support the distribution business, to support the smaller transmission jobs like the 138 lines that are being upgraded, they don’t use bundle conductors. So the nature of the assets that we have to have in order to perform on those shops are different than what we were maybe adding four, five years ago. We have a lot more yellow iron that can be used in multiple applications now versus what we were buying five years ago.
Alex Rygiel: That’s helpful. Thank you very much.
Operator: Thank you. Our next question comes from Tahira Afzal from KeyBanc Capital Markets. Your line is open.
Tahira Afzal: Thank you. Bill, this might be a question for you or Rick, but if you look at 2015 and the large prospects you did have seen potentially going through in 2015, on average how much of the wind delayed by?
William Koertner: Rick, do you want to…?
Rick Swartz: That’s – I think you follow at the same way we do, we look at the markets, I think some – most of them moved out I would say, I haven't looked at it from a timeframe to say whether it's three months, six months or nine months but we know it's moved out. They've moved out from this point into next year, and some of those are out six months, some of them could be beyond that, we know the projects are going to built to just a matter when they can get the permitting done and that’s what holding up most of them.
Tahira Afzal: Got it, okay Rick. Actually that’s pretty helpful. Thank you.
Operator: Thank you. Our next question comes from John Rogers from D. A. Davidson. Your line is now open.
John Rogers: Hi, good morning. I just want to follow-up a little bit. In terms of the mix of work that you're seeing on the smaller projects, are there more materials flowing through those as a percentage of revenue and what does due to the margin profile in the years ahead?
William Koertner: There is probably not more material going through, because the smaller projects would more typically be kind of better and butter utility work as oppose to things that would be on it EPC basis, where we made a small EPC projects, there are a few of them like wind form work might be on an EPC basis but I would think there wouldn’t be a lot of material at an overall portfolio of these smaller projects.
John Rogers: Okay, all right. So, because a couple of years ago, I mean it seems to me there was a period where there was a lot more material flowing through your books than there is now.
William Koertner: Right.
Rick Swartz : It depends on our mix and work at any given time, some of the larger projects had us furnishing the material, other ones the customer furnished it, so it was a mix at that point.
William Koertner: And maybe, John, on to expand upon that as you know, there is a big push with this FERC 1000 work to have historic utilities that were operating in a franchise region and now they're wanting to bid on work in some other utilities region. So these special groups that have been formed to chase work and develop work outside their region, there is a pretty good chance to number of those will have materials outsourced to the contractor. So, both financial – pure financial developers as well as those that are affiliated with utilities are all thinking about a strategy of how to go into somebody else's service area and who do they take with them in terms of partner and we're in conversations with a lot of those parties and think that’s going to be a growing market for us and others.
John Rogers: Okay. And Bill or Rick or Betty I guess, in light of the current market conditions have you rethought your new office and expansion plans?
Rick Swartz: Our new office in which location?
John Rogers: Well, I mean like you went up into Canada and Alaska I guess over the last probably 18 months and on the C&I side, do you think about moving outside of the States that you're operating in is a way to maybe capture market share or grow in a flatter market.
Rick Swartz: The answer as far as looking at other markets, looking at other areas is yes, we've always looked at that, we continue to. I think the markets we've chose to go into right now which is the ones you spoke about I mean including Seattle, Vegas, Canada we all see is growing markets, places that we feel we have opportunities to expand our business and grow organically. So it's something that we are pursuing, it doesn’t mean those are the only ones we're looking at. I've got a team that looks at other opportunities whether it's following our project or an area that may have long-term growth potential. So, we're always evaluating that and looking to push where we can.
William Koertner: I think John, we've probably have rejected lot of expansion ideas than we have approved to go forward. So, when Rick and his team come to me and the Board of Directors with, I want to move in to the umptysquatch area they're challenged to put together business case, so why we think we can be successful, what clients we're going to target, where we're going to get the management talent with local connection. So, I think we've set the bar appropriately high so we just don’t try to chase every market that we could possibly go into.
John Rogers: Okay, thank you. I appreciate the color.
Operator: Thank you. Our next question comes from Adam Thalhimer from BB&T Capital Markets. Your line is now open.
Adam Thalhimer: Hi, good morning all.
William Koertner: Good morning, Adam.
Rick Swartz: Hi Adam.
Adam Thalhimer: Can you give a little more color on the E.S. Boulos acquisition how it's performing and what you're seeing in terms of the overall outlook in the Northeast?
William Koertner: Rick, do you want to handle that?
Rick Swartz: Sure. Overall, it's meeting the projections we went in with, where we stand it's meeting those. Going forward I see a strong market place for them to compete. It adds – it gives us some resources that we currently, that we didn’t have in that area and some other markets that the substations experience and part of their C&I, we had no coverage on that side in those areas. So we see growth within our old existing customer base along with allowing them to potentially grow their transmission and distribution side. So, overall it's been a positive experience for us.
Adam Thalhimer: Okay. And then I you answered this, just to one of John's questions, but in terms of the C&I expansion, are those the new markets it'd be Seattle and in Vegas?
Rick Swartz: Currently, those were the markets we're looking at to expanding and that’s where we've got focus right now. As Bill says, there is lots of opportunities on the one-off project basis, we're following our customers where we need to and we do that, that’s not something we'll report on quarterly, we go outside our geographic areas for projects where customers take us into that. But those are the primary focus right now, those two.
Adam Thalhimer: Okay. And then the outlook for Arizona and Colorado in the non-rev side, from your comments I think it's still pretty good, right?
Rick Swartz : Yeah, I mean if you go into those areas that’s one of the areas you're starting this, I mean you see cranes, they're building – there is construction going on and it's a nice thing to see. So, I see more activity in the Colorado market place and I see Arizona coming back, Arizona hasn't fully turned but we do see positive projections out there.
Adam Thalhimer: Great. Thank you.
Operator: And our next question comes from William Bremer from Maxim Group. Your line is now open.
William Bremer: Good morning, and welcome Betty.
Betty Johnson: Thank you.
William Bremer: I'd like to go to your T&D, booking sense of the pricing dynamics of what was booked in the quarter, are we definitely at say a lower level at this point and thus we should be adjusting our figure accordingly?
William Koertner: Well, maybe let me start off. We don’t talk about what margins we have in backlog so that’s something we could disclose. I think we're telling you it's very competitive market out there but getting into the specifics, what margin we historically had versus what margin we have and current backlog that’s really not something we can get into.
William Bremer: Bill, maybe a better way for me to ask this is, with some of the projects have you had or are you looking at change orders on some of them?
William Koertner: As far – when you say look at change orders, you mean on some of the existing projects we have that – I think we're always, if it's outside of the scope we then scope with the project. If it falls outside that scope then there'll be change orders associated. 90% of our business is long-term follow-on business with existing customers. We're not a company that goes in and creates change orders but if it's due to us, we pursue it.
William Bremer: Okay, good enough. And then on the C&I side, the size of those end markets, can you give us an update on the data centers there in terms of have you had any slowdown in the intercept of business of the C&I work?
William Koertner: We haven't, in the markets we serve we haven't seen what the customers – we do work but we haven't seen a slowdown on the quality of our work, it actually allowed us to do a couple of projects outside what I'd call our normal geographic reach.
William Bremer: Great. Thank you.
Operator: Thank you. And I'm showing no further questions from our phone line. I would now like to turn the conference call back over to Mr. Bill Koertner for any closing remarks.
William Koertner: Well, we appreciate everybody taken time this morning to be on the call with us. We look forward to reporting after we finish the fourth quarter and visiting with you again. So, everybody have a great day.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude the program and you may all disconnect. Everyone have a wonderful day.